Operator: Good afternoon, and welcome to the Iovance Biotherapeutics Third Quarter 2019 Financial Results Conference Call. All participants are in a listen-only mode. Following the formal remarks, we will open the call up for your questions. Please be advised that the call is being recorded at the company’s request. Now I would like to turn the call over to Tim Morris, Chief Financial Officer at Iovance. Sir, please go ahead.
Tim Morris: Thank you, operator. Good afternoon, everyone, and thank you for joining us. With me on the call is Maria Fardis, our President and Chief Executive Officer; and Friedrich Finckenstein, our Chief Medical Officer. This afternoon, we issued a press release that you could find on our website at iovance.com, which includes the financial results for the third quarter and nine months ended September 30, 2019, as well as a company update. Before we start, I would like to remind everyone that statements made during this conference call will include forward-looking statements regarding Iovance’s goals, business focus, business plans, clinical trial plans and results, potential future applications of our technologies, manufacturing capabilities, regulatory feedback and guidance, licensing and collaboration agreements, future updates and cash guidance. Forward-looking statements are subject to numerous risk and uncertainties, many of which are beyond our control, including the risk and uncertainties described from time to time in our SEC filings. Our results may differ materially from those projected during today’s call. We undertake no obligation to publicly update any forward-looking statements. With that, I’ll pass the call over to Maria.
Maria Fardis: Thank you, Tim. Good afternoon. Iovance continues to make excellent progress in development of T cell-based therapies for treatment of cancers. We believe we’re in a position of leadership and advancing cell therapies for the treatment of solid tumors. I’d like to briefly highlight a few recent accomplishments. First, our studies in melanoma and cervical cancer continue to enroll patients with the expectation of completion of enrollment of the melanoma pivotal cohorts in early 2020, and for the pivotal cervical cohort before mid-2020. We continue to be on track with our plans to submit a BLA for registration of lifileucel and for LN-145 in late 2020. These TIL therapies have the potential to impact the lives of thousands of patients that have experienced disease progression despite treatment with currently available options. Second, we continue to follow patients in our Cohort 2 of our melanoma program. One of the four abstracts accepted for presentation at the upcoming Society for Immunotherapy of Cancer or SITC meeting provides results as read by Independent Review Committee or IRC for this cohort. We will provide an update on investigator assessed response as part of the SITC presentation as well. Third, we are pleased to announce today that our investigation on new drug application or IND application for our newly developed peripheral blood lymphocytes or PBL therapy named IOV-2001 has been cleared by FDA. Development of IOV-2001 PBL product is the result of internal research and development efforts at Iovance and represents our first program in developing a cell therapy for broad borne cancers. This product is polyclonal and is manufactured in nine days from 50 milliliters of blood. We expect to begin a clinical trial with IOV-2001 for the treatment of chronic lymphocytic leukemia or small lymphocytic lymphoma by the end of 2019. Now I would like to discuss our development programs in more detail. I’ll also provide an update on our corporate activities as you work to make TIL therapy broadly accessible to the many patients who may benefit from this approach. The pivotal study Cohort 4 of our C-144-01 study of lifileucel in the treatment of metastatic melanoma is progressing well with complete enrollment expected before March of 2020 under submission of a Biological License Application or BLA for lifileucel planned in late 2020. As I mentioned at the beginning, at SITC, we will have results from Cohort 2 as read by an Independent Review Committee or IRC. We expect that the late breaking abstract detaining IRC data from Cohort 2 will become available tomorrow on the SITC website. To provide further detail on our cervical cancer program, I would love to ask Friedrich to speak to the changes made to the protocol. Friedrich?
Friedrich Finckenstein: Thank you, Maria. Hello, everyone. We are also pleased with the continued progress of our pivotal study of TIL therapy and patients with advanced cervical cancer. Further expand on evaluating tool for broader cervical patient population such as earlier line patients as well as post PD-1 patients, we have amended this protocol and added new cohort. This amendment is the result of collaboration with key opinion leaders from the Gynecologic Oncology Group Foundation or GOG in offering tool to broader cervical patient populations. The pivotal study cohort, which is now known as Cohort 1 will treat 75 second and higher line metastatic cervical cancer patients who have progressed following systemic chemotherapy. Cohort 1 is the pivotal cohort for registration. The amendment of the protocol has no impact on the sample size or timing of completion of the registration program in cervical cancer. We have added new cohorts to the C-145-04 of LN-145 that address additional patient population. These cohorts are intended to help evaluate the potential of broadening treatment to include earlier lines of therapy. Two new cohorts added. We’ll enroll two distinct populations of patients. Patients who have experienced disease progression following treatment with pembrolizumab and first line metastatic patients who have not received any therapies other than prior chemo radiation or surgery to be treated with LN-145 in combination with pembrolizumab. In addition, we have created two other cohorts, which are part of transforming the study into a pivotal program by separating non-registrational patients into other cohorts. Patients who have been previously enrolled, but are not considered within the registration population such as patients treated with Gen 1 product and patients who may benefit from retreatment with LN-145. To summarize, the additional study cohorts reflect our commitment to make TIL therapy broadly accessible to a broader patient population. Back to Maria.
Maria Fardis: Thank you, Friedrich. Beyond solid tumors, we also see potential for our TIL technology platform in the treatment of hematologic cancers and are pleased to have received U.S. FDA clearance of the IND application for IOV-2001. We are proceeding with an Iovance sponsored study of the IOV-2001 in chronic lymphocytic leukemia and small lymphocytic lymphoma. We expect to dose the first patient in this IOV-CLL-01 Phase 1/2 study before the end of 2019. The clinical study for IOV-2001 is a dose escalation program. We expect to be enrolling in the Phase 1 portion during 2020. To further expand investigation of PBL and heme, Iovance intends to expand its hematologic research to include mantle cell lymphoma as well. We’re also pleased to engage with multiple research partners that help us evaluate additional applications of TIL and cell therapy of TIL. Recently, we entered into collaboration with Lytix Biopharma to study the activity of LTX-315, an oncolytic peptide, in conjunction with TIL therapy. Lytix Biopharma is developing oncology molecules able to disintegrate intracellular components of tumor cells resulting in exposure of tumor antigens and dangerous signal. The oncolytic peptide LTX-315 has demonstrated proof-of-concept in patient. In other solid tumor indications, Iovance have established an investigator initiated study with Yale University to investigate LN-145 in triple negative breast cancer. Iovance have previously shown successful growth of TIL in this indication. Toward that, an IND from Yale has been cleared by FDA to initiate investigation of LN-145 in patients with TNBC. The trial is expected to begin enrollment in 2020. In addition to late breaking clinical results, three pre-clinical abstracts highlighting Iovance TIL therapy will be presented at the upcoming SITC meeting. These presentations will include abstracts covering expansion of TIL from core biopsies, transient genetic modification of PD1 in TIL and Gen 2 manufacturing results from several solid tumor types. We continued to see favorable results from our manufacturing progress and I’m pleased to report that our manufacturing success rate continues to exceed 93%. The construction of our Philadelphia manufacturing facility continues and be on target to open the facility for commercial manufacturing production in 2022. Now, I would like to ask Tim to share an overview of our financial results. Tim?
Tim Morris: Thank you, Maria. My comments will address a few highlights from our financial results. Additional details can be found in the third quarter news release that we distributed earlier. Net loss for the third quarter ended September 30, 2019, was $49.5 million or $0.40 per share compared to $33.8 million or 0.36 per share for the third quarter 2018. Research and development expenses were $41.6 million for the third quarter of 2019, an increase of $13.7 million when compared to $27.9 million for the third quarter last year. The increase was primarily attributable to higher manufacturing costs resulting from increased capacity added to support enrollment in the pivotal and other clinical studies. The increase is also due to higher R&D personnel costs, including stock-based comp resulting from an increase in headcount as compared to the third quarter in 2018. General and administrative expenses were $10 million for the third quarter of 2019, an increase of $2.9 million when compared to the $7.1 million for the third quarter of 2018. The increase was primarily attributable to the increased personnel costs due to additional G&A employees added in 2019. Net loss for the nine months ended September 30, 2019 was $134 million or $1.08 per share as compared to a net loss of $91 million or $1.01 per share for the same period of 2018. Research and development expenses were $111.8 million for the nine months ended September 30, 2019, an increase of $39.4 million when compared to $72.4 million for the same period in 2018. The increase was primarily attributable to the reasons stated above for the quarter, namely additional manufacturing and clinical trial costs resulting from higher enrollment and increased personnel costs due to an increase employees as compared to the same period in 2018. General and administrative expenses were $30 million for the nine months ended September 30, 2019, an increase of $9.1 million compared to the $20.9 million for the same period in 2018. Again, the increase was primarily attributable to the reasons stated above namely higher personnel costs, including stock-based comp resulting from an increase in number of G&A employees. At September 30, 2019 the company held $367.3 million in cash, cash equivalents, short-term investments and restricted cash, as compared to $468.5 million at December 31, 2018. For the third quarter, the changing cash was $42.3 million, mainly from cash used in operations. At year-end, the company anticipates at the balance of cash, cash equivalents, short-term investments and restricted cash maybe between $310 million and $320 million. This month, in addition to SITC, we look forward to presenting at their credit Suisse healthcare conference in Phoenix. The Stifel 2019 health care conference in New York, the Jefferies Healthcare Conference in London. I will now turn the call over to the operator for questions. Operator?
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Benjamin Burnett of Stifel. Your line is open.
Benjamin Burnett: Great. Thank you so much and congrats on the progress. Two quick questions for me. Just one quickly on the cervical cancer updates. I appreciate the color on this, but I just wanted to clarify one thing. So I understand that these changes don’t impact the registrational cohort, the addition to these other cohorts. But does this at all change your strategy for filing for approval. Like, would you want to wait for these other cohorts to complete to maybe seek a broader label? or is the strategy still to file with just Cohort 1?
Maria Fardis: Hi, Ben, thank you for the question. No, it does not change our strategy for filing. We will be filing based on Cohort 1 data.
Benjamin Burnett: Okay, perfect. And then also, I just wanted to ask, what are your plans for providing future updates to the melanoma Cohort 2 patients? And I guess, specifically, the investigator-assessed responses, will there be future updates with, I guess, based on the investigator-assessed responses? Or is the messaging going forward going to be all about the Independent Review Committee?
Maria Fardis: We will provide an update on duration of response by investigator at SITC as well as overall response rate, which we have disclosed before. So there will be updates at SITC based on investigator-assessed data from Cohort 2.
Benjamin Burnett: Got it, okay. Thanks very much. I appreciate that.
Maria Fardis: Sure, Ben. Just to kind of make sure that I should close the loop, so update maybe a number or may be just not reached, either one of them is considered an update.
Benjamin Burnett: Okay, okay. Makes sense, thank you.
Maria Fardis: Sure.
Operator: Your next question comes from the line of Jim Birchenough from Wells Fargo. Your line is open.
Jim Birchenough: Yes. Hi guys, let me add my congratulations on all the progress. Maria, if you could just remind us when the abstract was submitted for melanoma? And if we should expect an appreciable change from what we see tomorrow and what we see Friday? And then secondly, could you maybe comment on any expected erosion from investigator-assessed to central view that we see in other studies just to maybe set the frame of reference of what happens in melanoma, typically between investigator-assessed and central review? And then I’ve got a follow-up.
Maria Fardis: Sure. Thank you for the question. So the data, which you might see tomorrow will be updated for the Friday poster. We are cutting the data with update. There also will be additional information regarding investigator and DOR sort of assessment because we have committed to the street that any time we have an update to provide it. We are obviously very pleased with the data. This is part of why we are putting it out. And needless to say, in terms of the concordance that we see, we do want to remind everyone for a very metastatic disease the opportunity for an investigator to choose different lesions than IRC is quite high. There’s abundance of literature that says these two data is very discordant. We felt that this data was very strong and further confirms the observation we have had in Cohort 2, and that’s the data you’re going to see at SITC.
Jim Birchenough: And then maybe just separately, Maria, on the PBL opportunity, could you maybe speak to why great indication initially with CLL, SLL, but any thoughts to broader blood cancers, hematologic malignancies like myeloma? What’s – I guess, what makes you choose CLL to start with? And at what point do you move more broadly into things like myeloma?
Maria Fardis: Yes, great question. Thank you. We recognize that the cells that are target of these T cells for expansion are not very frequently found in blood. This has been sort of a bit of a holy grail, what everybody is trying to find the cells in blood, and they’re just not present in blood. However, if the patient has received ibrutinib as prior therapy, the cells are, in fact, found in higher frequency circulating in blood. So we started the patients that are post ibrutinib, this finding was presented at ASH a couple of years ago. And once we started with that process, we realized that these patients are specifically either on ibrutinib, and they’re progressing or they have already progressed. So we started CLL because we know ibrutinib is very well adopted in CLL. And I noticed today, that we are also interested in expanding this type of work in mantle cell. So we are interested in particularly post-ibrutinib patients and hematologic indications, which is quite a broad patient population to begin with.
Jim Birchenough: And maybe just a final question. Just on implications of the core biopsy data will get at SITC, Maria, how could that impact your ability to treat patients in terms of making the process easier, getting some more patients where you might not be able to get as invasive biopsy? Just trying to get a sense of the implications of the core biopsy data?
Maria Fardis: Yes, absolutely. Thank you. Indeed, and I would expect that the process of excisional biopsy would become simpler. A core biopsy leading to sufficient TILs is certainly something that a lot of patients would be much more enthusiastic about, and we believe that our addressable market would be significantly impacted. In the late-line metastatic disease, I think that there is ample amount of tumor in a disease such as melanoma and even cervical. But as we go into earlier line, I think these are exploratory work that is critical for our earlier line patient population, where the tumor bulk may not be as large. That’s what we went after four.
Jim Birchenough: Great. Thanks for taking the questions.
Maria Fardis: Thank you.
Operator: Your next question comes from the line of Mark Breidenbach. Your line is open.
Mark Breidenbach: Hey, good afternoon, and thanks for taking the questions. Congrats on the progress. Maria, I was wondering if you could elaborate on the sizes of the new cervical cohorts? And maybe speak about any prior data until efficacy in either very early line or very late-line cervical cancer settings, either from the NCI or other academic centers?
Maria Fardis: Well, maybe why don’t I ask Dr. Finckenstein to speak to this?
Friedrich Finckenstein: Sure, I’m happy to. So I’ll take the first part of your question. This was about the size of the additional cohorts. Both of those are exploring the efficacy and safety profile in up to 24 patients in the settings that we described. The other two cohorts that are really a clarification don’t have a defined sample sets because we’re not actively enrolling into these.
Mark Breidenbach: Got it. And with regard to prior experience with TIL in, say, newly diagnosed cervical patients, have we seen any of that before?
Maria Fardis: Not absolute treatment-naive patients. Even when NCI was exploring TIL therapy, the patients, the bulk of the patients were post-chemo radiotherapy. So the patient population has always been relapsed refractory. I don’t believe I’ve seen anyone having offered TIL in front-line to the degree I’m aware of.
Mark Breidenbach: Okay. And finally, just one on another TIL trial that we’re expecting to see data from at SITC. I know there’s a group at Moffitt that’s evaluating TIL in non-small cell lung cancer. I was wondering if you could just remind us of the major manufacturing differences between your Gen 2 product and what Moffitt’s doing? And if you think there can be any meaningful read through between that Moffitt lung trial and your ongoing basket trial that has some lung cohorts in it? Thank you.
Maria Fardis: Thank you, Mark. Yes. So Moffitt has been conducting a non-small cell lung cancer patient study. The study design allows for patients to come in, get excisional biopsy for generation of TIL. A pre-rapid expansion protocol, which is approximately three weeks or so is conducted. The patient, in the meantime, is exposed to nivolumab. And upon progression, or if they see no clinical benefit, the patient is then treated with their own TIL. The differences between the Moffitt study and Iovance studies is both in manufacturing process. Their manufacturing process is more involved, associated based on NCI manufacturing process so longer. As well as the fact that the study from Moffitt is using what is called a tumor banking model, where they excise the tumor, they expose the patient to nivolumab upon progression or no clinical benefit, they allow the patient to receive their TIL. And last point of differentiation between what Iovance does and what Moffitt does is the amount of IL-2 that is administered. Moffitt study uses what is called decrescendo IL-2, which is a lower dose IL-2 and we use what is called high dose IL-2 after six administration. So with this three points of differentiators between our studies and theirs, we remain very excited about what we see with Moffitt. Moffitt really showed the proof of concept for TIL in non-small cell for the first time. There was no data up to that point, that showing TIL may do something in non-small cell. Based on that data, we have started now two cohorts of studies in our basket study, the COM – COM-202 study, where we are offering TIL for earlier line patients in combination with KEYTRUDA, and in the second cohort, where we are offering TIL in relapsed/refractory patients as a monotherapy or mono sort of a treatment option. So we see that this is maybe somewhat representative as the proof of concept, but it’s not exactly the same manufacturing process and product. So those are sort of the pros and cons.
Mark Breidenbach: Got it, okay. Thanks for that clarification. And I’ll see you at SITC.
Maria Fardis: So thank you, Mark.
Operator: Your next question comes from the line of Biren Amin from Jefferies. Your line is open.
Biren Amin: Yes. Hi guys, thanks for taking my questions. Maria, on the cervical and melanoma timelines, I think you mentioned that the BLA is expected to re-submit at year-end. But for cervical enrollment, it completes before midyear and for melanoma, it finishes in early 2020. So should we assume that the follow-up on cervical will be shorter by at least a quarter compared to the melanoma trial?
Maria Fardis: Hi Biren, thank you for the question. We are really excited about the enrollment rates in the melanoma program. And so we think we had initially thought that we might be looking at around March timeframe, we maybe think it’s possible to potentially have an earlier time frame. So that’s sort of the distinction between them. In terms of amount of follow-up, we don’t know quite how much follow-up exactly the agency would be open to receiving. There is two ways of thinking about follow-up, a median follow-up versus last patient last evaluation follow-up. We recognize that we have breakthrough designation in the cervical landscape. So there’s a possibility that FDA may be open to different follow-up periods between melanoma and cervical. So to kind of short – give you a shorter answer, we don’t know quite exactly how much time they’re going to ask for. But we are planning on our BLA submission for late 2020 for both indications.
Biren Amin: Maria, I guess, have you had any discussions with the agency regarding this topic of median fall versus last patient follow-up? And then, I guess, on – in the cervical trial, you had additional cohorts that you’ve added, what drove the addition of those cohorts? Was it investigator feedback? Was it regulatory feedback?
Maria Fardis: Sure. So from a follow-up perspective, yes, we’ve had some preliminary discussion and what we are offering right now is based on that discussion. Having said that, it’s important to go to pre-BLA meeting and discuss with the agency exactly what is acceptable and what is not with them. So what we are offering is quite aligned with our prior dialogue with FDA. In terms of additional cohorts, do you want to maybe add a comment to this or should I address? So Biren, you were wondering whether we wanted to expand the patient population, is that your question for cervical?
Biren Amin: Yes, for cervical, clearly, you’ve gone into post PD-1 into the first-line setting. And so I’m just interested to hear what drove that? Was it regulatory feedback? Or was it investigator feedback?
Maria Fardis: Actually both. Regulators were certainly excited about broadening our footprint in TIL therapy in cervical. As Friedrich noted, we also had a dialogue with GOG, which is Gynecological Oncology Group, which is a very large key opinion leader, sort of a setting where they decide sort of what sort of studies they can offer for patients in the gyn setting, and they were very excited about early line patients as well. So we definitely took advice from both health authority as well as GOG into consideration in proposing these additional cohorts.
Biren Amin: Got it. And then just one maybe last question on the cervical cohort. I think the company mentioned that patients that have already been enrolled, but would not be eligible for Cohort 1, such as those that received the Gen 1 manufacturing process could being enrolled into these additional cohorts that you started. So I guess my question is, how many of the 27 patients presented at ASCO would not be eligible for Cohort 1?
Maria Fardis: So this new cohort is, for example, Gen 1 manufacturing, which was not part of what we presented at ASCO. So Biren, the effort really here is to clean up this study and as showed at Cohort 1 is a unanimously defined patient population, which supports the registration. So I don’t know how to answer the question a little bit because we did not mix Gen 1 in our ASCO presentation. Gen 1 was presented before as part of the financing, but was not part of ASCO.
Biren Amin: Got it. So the ASCO data was strictly Gen 2? And I guess all of those 27 patients would still be counted towards Cohort 1?
Maria Fardis: We did – as you see FDA feedback, we did say that most of the patients in the enrolled 27 patients would fulfill the criteria and that’s in our previous July press release. So we did talk about that.
Biren Amin: Great, thank you.
Maria Fardis: Thank you.
Operator: Your next question comes from the line of Joseph Pantginis from Wainwright. Your line is open.
Joseph Pantginis: Hi, everyone, good afternoon. Thanks for taking the question. Maria, I was just curious, I’m very glad to see the progress now for 2001, so good luck with the heme programs. I was wondering if you could provide any nuances since you said this is obviously internally developed, about maybe some differences between what you’re working on with Ohio state?
Maria Fardis: Hi, Joe, thank you for the question. This is very much the same collaboration. This has always been a collaboration with Ohio State University. The process, however, has been entirely developed by Iovance researchers. It’s based on the data, however, that OSU showed where the T cells were more in circulation subsequent to treatment with ibrutinib. So there’s different aspects of this collaboration, the manufacturing method development was entirely done at Iovance. The data, however, where to find the TILs in the blood was based on findings at OSU. The study that will use this product into clinic is a company-sponsored study, though.
Joseph Pantginis: Got it. Thanks for the clarification.
Maria Fardis: Thank you.
Operator: Your next question comes from the line of Madhu Kumar from Baird. Your line is open.
Madhu Kumar: Hey, all. Thanks for taking our question. So one question is, what do you guys think of the path for approval for TILs in Europe? What is the kind of regulatory interactions you’ve had with the EMA regarding the path forward for TILs for melanoma or cervical? And then secondly, you mentioned maybe a transient knockdown study that you’ll present at SITC. How are you thinking about the potential for either transient or permanent gene inactivation in TILs ex vivo as a means to kind of do the next step for a TIL production?
Maria Fardis: Sure. Hi, Madhu. Thank you for the question. In terms of TIL in EU, we obviously have had interactions with regional health authorities as we have been either filing for CTAs and the CTAs are active. So we’ve had a number of different dialogues that way as well as just regional meetings, but we have not spoken to EMA as a central procedure, and that’s something we intend to do in part of 2020. So that dialogue is expected to be had. We are very clear that various countries are very aware of this product coming. In terms of transient knockdown versus potential permanent genetic modification, we are very excited about the data that we have. We hope to take at least one of these products into clinic in 2020, and you’re going to see some of the knockdown data in terms of sort of the properties of the cells, subsequent to knockdown as part of our SITC poster. I do think they might have a different safety profile. One of them is transient and one is permanent. So we might – you might just find out in clinic, whether they behave the same or differently.
Madhu Kumar: Okay, great. Thanks.
Maria Fardis: Sure. I guess I do want to add another point that we wanted to have multiple shots on goal from both a safety and efficacy perspective. So we consider a transient modification as well as both permanent genetic modification as viable routes.
Madhu Kumar: Okay.
Maria Fardis: Thank you.
Operator: Your next question comes from the line of Joseph Catanzaro from Piper Jaffray. Your line is open.
Unidentified Analyst: This is Charles on for Joe. I wanted to ask about the ongoing cohort in head and neck cancer and whether you could specifically say, if we can expect any data update from that cohort in 2020? Or if not, more generally speaking, whether you had noticed any change in enrollment since the approval of pembrolizumab in first-line head and neck? Or if you had a sense of how quickly pembrolizumab is being adopted there?
Maria Fardis: Thank you so much for the question. Yes, I actually agree, we do see a change in enrollment rate, I think, because the landscape for care of these patients has changed, in fact. It used to be that the patients would receive chemotherapy. Upon progression, they would receive anti-PD-1. Anti-PD-1 would offer around 13% to 15% response rate. And subsequent to anti-PD-1s, the patients had a fairly short median OS. But it has been very difficult to get these patients and make sure that we are able to offer something to them that allows us to have a follow-up with the patients and see benefits of potential TIL therapy. Today’s landscape is definitely changing. And we do see a slowdown in enrollment, perhaps because a lot of these patients are now changing the path by which they come to clinical trials. They’re receiving pembro plus chemo in front line, and then ultimately, when they progress, and they’re beginning to – we’re beginning to see them, they’re coming into our trials. So that’s a very great observation. The change in the landscape for head and neck, we do see that.
Unidentified Analyst: Okay. And then as for when we can expect to see updated data, do you have any guidance for that? Is it possible in 2020? Or is it too early to say at this point?
Maria Fardis: I think it’s a little too early to say. We have not committed to a time frame for data flow for that study yet.
Unidentified Analyst: Okay, thanks. And then, Tim, I have a question on operating expenses going forward. Should we expect OpEx for R&D and SG&A to continue to increase? Or should we expect it to level off at some point?
Tim Morris: Yes, we haven’t given any guidance yet for 2020, but when you’re going into precommercial mode and continuing to build up your plants and are preparing to file the BLAs, I think it’d be hard-pressed to say that they’ll go down. So – but we’ll give some guidance on the year-end call for cash in 2020.
Unidentified Analyst: Okay, thanks.
Operator: Your next question comes from the line of Boris Peaker from Cowen. Your line is open.
John Scott: Good evening. This is John Scott on for Boris. On manufacturing costs, you mentioned the R&D rose because of increased capacity. Can you comment on the cost per patient now versus previous quarters, if you saw that change? And then secondly, can you give a rough estimate on what proportion of your manufacturing capacity is being used? And do you anticipate a need to further scale up given the study cohorts you’ve discussed? Thanks.
Tim Morris: Sure, John. This is Tim. Yes, we don’t breakdown the cost per patient. What we have done, though, is we had to make sure we had enough capacity, both in the U.S. and in Europe to ensure we can enroll these pivotal studies on time. But the cost per patient, remember, there’s two components to the CMOs. There’s a fixed cost for a given suite. We had disclosed earlier that we’d added some additional capacity at Wuxi. And so you could probably assume that there was a fixed cost associated with that. The cost per patient still remains relatively consistent in terms of the materials and the labor component of that. In terms – I think your second question if additional capacity is needed or not, I think given the timing and the suggestion for the pivotal is finishing up essentially in the first half or the first part of 2020, I think we have sufficient capacity right now. I don’t see a need to scale up any additional capacity, at least as it relates to the pivotal.
John Scott: All right. Thank you very much for taking my questions.
Tim Morris: Okay. Thank you, John.
Operator: As we have no more questions, we would now like to turn the call over to Maria Fardis for closing remarks. Maria?
Maria Fardis: Thank you, operator. We are pleased to have this opportunity to reflect on our progress and the hard work that has allowed us to achieve a position of leadership in this industry. We would like to acknowledge the many individuals who have helped us reach this point, including our employees, our shareholders, patients, the investigators in our ongoing studies and the researchers at our partner institutions. We would not be able to reach our goals without the invaluable, coordinated efforts from the supporters of these groups. Finally, we would like to thank you for joining us on the call today and look forward to providing future updates of our progress at the future dates. Have a good day.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This concludes today’s program. You may now disconnect.